Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Fourth Quarter 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. I would now like to turn the call over to Amy Giuffre. Please go ahead.
Amy Giuffre - Director-Investor Relations: Thank you and good morning, everyone. You can access the slides supporting this call on harley-davidson.com. Click Company at the top of the home page, then Investor Relations and Events and Presentations. Our comments will include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters we have noted in our latest earnings release and filings with the SEC. Harley-Davidson disclaims any obligation to update information in this call. This morning, our CFO, John Olin and President and CEO, Matt Levatich will be hosting the call. John, let's get started.
John A. Olin - Senior Vice President and Chief Financial Officer: Thanks, Amy, and good morning, everyone. Today, I'll provide additional insight around our fourth quarter and full-year financial results found in our press release and supporting slides. The summary of our fourth quarter financial results start on slide 4. During the quarter, revenue was $1.18 billion, net income was $42.2 million and diluted earnings per share were $0.22. Operating income from the Motorcycles segment was down $29.5 million from last year's fourth quarter. Segment revenue was down versus prior year driven by unfavorable mix and currency exchange, partially offset by higher shipments. Additionally, SG&A was higher driven by reorganization charges, which enabled the shift in our operating investment profile to drive more demand. Operating income headwinds were partially offset by strong gross margin percent. At HDFS, operating income was down 2.5% year-over-year. The quarter also reflected higher corporate interest expense resulting from our 2015 recapitalization. Despite the challenging conditions we faced throughout 2015, we continue to focus on delivering strong margins and strong returns over the long-term. Now let's take a look at our retail sales on slide 5. Worldwide retail sales of new Harley-Davidson motorcycles were down 0.6% in the fourth quarter, an improvement from the last three quarters trend when sales were down 1.4%. The decline in U.S. retail sales was partially offset by increases in international markets during the quarter. Globally, sales were impacted by ongoing aggressive competitive activity and macroeconomic challenges. On the positive side, our new 2016 model year motorcycles, including the 2S models, the Road Glide Ultra and our refreshed Forty-Eight and Iron 883 models all sold very well since our initial rollout. For the full year, worldwide retail sales were down 1.3%, compared to last year. 2015 retail sales reflected a significant increase in competitiveness behind currency driven discounting and the introduction of new products by a number of our competitors. During 2015, we took significant steps to improve our competitiveness without engaging in brand damaging discounting. We have significantly shifted our operating investment profile for 2016, redirecting approximately $70 million of existing spending toward demand driving marketing and product development investment. Let's take a look at the U.S. market on slide 6. Retail sales in the U.S. were down 3.4% in the fourth quarter compared to the prior year behind intense competitive pressure and a challenging macroeconomic environment. These significant headwinds were partially offset by demand for new products, including our new Cruiser motorcycles. In fact, U.S. Cruiser retail sales were up in the fourth quarter driven by strong sales of our two new Softail S models, our first year-over-year increase in the Cruiser segment in eight quarters. We also saw strong motorcycle sales of the Riding Academy graduates driven by our military Learn to Ride for Free program in the U.S. For the quarter, U.S. retail market share was flat to last year at 51.4%. As expected, the market share trend substantially improved from previous quarters trends of down 3.7 points. The improvement reflects our efforts to mitigate the impact of widening price gaps and the lapping of the aggressive competiveness that started late in Q4 2014. For the full year, our retail sales were down 1.7%. Our full year market share of 50.2% was down 3.1 percentage points year-over-year. While we anticipated some level of share loss following the 13.4 points of share that we gained in recent years, our 2015 share was more severely impacted than we expected as a result of the competitive environment and the inclusion of auto-cycles in the industry numbers. Finally, as expected, U.S. dealer retail inventory was up approximately 2,600 motorcycles at the end of 2015 compared to 2014, largely due to the initial dealer fill of our new 2016 motorcycles. We were comfortable with yearend dealer inventory levels as we continue to aggressively manage supply in line with demand. On slide 7, you will see retail sales in our international markets were up 3.1% in the fourth quarter. EMEA region retail sales were down 1.7% in Q4 due to continued pressure from the introduction of new low priced models by the competition and a very tough prior year comparison of up 8.7%. For the full year, EMEA retail sales were down 4.5% and full year market share in Europe was 10.5%. While market share was down 1.5 percentage points for the year, fourth quarter share was down only 0.6 percentage points, an improvement over the prior quarter share trends. Asia-Pacific region retail sales were up 8.2% in the fourth quarter driven by strong sales in emerging markets and in Australia, partially offset by soft sales in Japan. While retail sales were down in Japan, we gained market share during the quarter. For the full year, Asia-Pacific retail sales were up 7.3%. Latin America retail sales were down 1.5% in the quarter as a result of declines in Brazil, partially offset by strong growth in Mexico. Brazil's retail sales had been impacted by a slowing economy, consumer uncertainty, and very aggressive price competition. For the full year, retail sales in Latin America were down 4.1%. Finally, retail sales in Canada were up 12.3% in the fourth quarter, but down 2.0% for the full year. We believe the market responded well to the change to a direct distribution model and to a price reduction on 2016 model year motorcycles. We plan to leverage international growth opportunities by expanding distribution and increasing our brand relevance by delivering exceptional products that inspire riders. In 2015, we added 40 international dealerships and plan to add 150 to 200 through 2020. On slide 8, you'll see wholesale shipments of Harley-Davidson motorcycles in the quarter were up 2.1% compared to last year and within our expected range. The shipment mix reflects our product investments in model year 2016 as we shipped a significantly higher percent of Cruiser and Street/Sportster compared to last year. On slide 9, you'll see revenue for the motorcycle and related products segment was down in the fourth quarter despite an increase in motorcycle shipments. Q4 revenue was unfavorably impacted by currency exchange, which reduced revenue by approximately 3.8% and unfavorable mix. For the full-year, Motorcycles segment revenue was down 4.7%, behind a 1.6% decrease in motorcycle shipments and a 4.4% decline due to foreign currency exchange. The average motorcycle revenue per unit was down for the quarter and full-year behind unfavorable foreign currency exchange and mix, partially offset by higher pricing. Both P&A and general merchandise revenues were adversely affected by unfavorable foreign currency exchange during 2015. On slide 10, you'll see gross margin in the quarter was 31.9%, which was 1.4 percentage points higher than last year. Gross margin performed well with volume, price, raw materials and manufacturing all being favorable during the quarter, partially offset by unfavorable mix in foreign currency exchange. During the quarter, overall mix was a headwind of $20.9 million driven by unfavorable motorcycle family mix, reflecting the demand for our 2016 Cruiser and Sportster motorcycles. Foreign currency exchange was unfavorable for the fourth quarter. This was driven by the significant weakening of our key foreign currencies on a year-over-year basis. The euro, yen, Brazilian real, and Australian dollar devalued an average of 13% compared to prior year quarter. This resulted in an unfavorable revenue impact of approximately 3.8% and unfavorable gross margin of $15.3 million for the fourth quarter. Full-year gross margin was 36.8%, which was up 0.4 percentage points from last year. We were very pleased to be able to increase our full-year gross margin percent, especially in the face of very unfavorable currency exchange and lower volumes, and believe it is evidence of our strong underlying margin structure and flexible manufacturing capability. On slide 11, operating margin as a percent of revenue for the fourth quarter was 0.6%, down 2.9 percentage points compared to last year's fourth quarter. As anticipated, operating income of $6.4 million for the quarter was unfavorably impacted by higher SG&A spending, partially offset by very strong gross margin performance. SG&A spending was up $36.2 million driven by reorganization charges as well as expenses related to the acquisition and operations of our Canadian distribution. Reorganization charges for the quarter totaled $30 million with $23 million being charged to SG&A. For the full year, operating margin as a percent of revenue was 16.5%. Going forward, we remain intensely focused on a cost structure that will enable growth and continuous improvement to drive our business to be stronger, more flexible and more profitable. Now let's take a look at our Financial Services segment on slide 12. During the quarter, HDFS' operating profit decreased $1.5 million or 2.5% compared to last year. The primary factors impacting fourth quarter results were; first, net interest income was favorable to prior year by $9.3 million driven by higher receivables, partially offset by lower yields on receivables due in part to the 2015 low interest rate promotional activity. And second, the provision for retail credit losses was unfavorable to prior year by $7.8 million due to higher retail credit losses and increased reserve rates. On a full-year basis, HDFS posted an operating profit of $280.2 million, an increase of 0.9% compared to 2014. HDFS' operations are summarized on slide 13. During the fourth quarter, HDFS' retail motorcycle loan originations decreased 1.7% compared to the same period last year. In 2015, loan originations were comprised of approximately 80% prime loans and 20% subprime. As the predominant industry lender to subprime customers, these originations represent a significant number of retail sales to the company at very attractive returns. For the full year, HDFS continued to have a strong U.S. retail market share of new Harley-Davidson motorcycles. HDFS' market share increased 5.4 percentage points, driven in part by promotional activity during the year. At the end of the year, we had $321.8 million of cash and cash equivalents at HDFS. In addition, HDFS had $748 million of available liquidity through bank credit and conduit facilities. This month, HDFS issued $1.2 billion in medium-term notes. On slide 14, you'll see the 30-day delinquency rate for retail motorcycle loans at year-end was 3.8% or 17 basis points higher than year-end 2014. Delinquency rates across the portfolio while up, remain at near record low levels. Annual retail credit losses increased by 20 basis points to 1.42% compared to 2014, driven by expected increased losses in the subprime portfolio, lower recovery values on repossessed motorcycles and a recent deterioration in performance in oil dependent areas of the U.S. During 2015, HDFS continued to maintain a strong liquidity position and contributed strong profitability to the company. HDFS remains focused on enabling sales of Harley-Davidson motorcycles, while providing attractive return to Harley-Davidson as demonstrated by the $140 million dividend HDFS paid to Harley-Davidson, Inc. this month. The remaining Harley-Davidson, Inc. financials are summarized on slide 15. The company generated operating cash of $1.10 billion during 2015, down $47 million from last year, driven by lower net income and increased wholesale lending, partially offset by favorable working capital. Also, the full-year tax rate was 34.6%. During the quarter, the R&D tax credit was reinstated for 2015 and going forward. The full-year 2015 benefit was recognized entirely in the fourth quarter. The company has and intends to continue to maintain a minimum of 12 months of projected liquidity needs in cash and/or committed credit facilities. On slide 16, we have our full-year 2015 results. You will see revenue, net income and earnings per share were all below 2014 levels due to a significant increase in overall market competitiveness, an adverse impact from currency exchange and higher SG&A behind reorganization charges and product recall expenses. Switching our focus to shareholder value on slide 17. Returning value to our shareholders is a top priority. During the fourth quarter, we paid a dividend of $0.31 per share, a full-year payout ratio of 34%. In addition, we purchased 12.7 million shares for $642.4 million. For the full year, we repurchased nearly 28 million shares for $1.5 billion, which was partially funded by the $750 million debt issuance in July. Looking forward, we expect to continue to return excess cash to our shareholders in the form of increased dividends and continued share repurchases. On slide 18, you will see our overall expectations for 2016. In 2016, we expect to ship 269,000 to 274,000 motorcycles, an increase of approximately 1% to 3%. We expect first quarter shipments to be approximately down 2% to up 4%. We expect 2016 global retail sales to grow year-over-year, with international retail sales growing at a faster rate than the U.S. Retail sales will be supported by our increased investments. Starting this year, we have redirected approximately $70 million to drive demand. We expect our 2016 year-over-year investment in customer-facing marketing to be up 65% and product development to be up 35%. We expect 2016 worldwide retail sales will face headwinds as the competition continues to be aggressive with discounting and new product introductions. We also anticipate global macroeconomic challenges, including weakness in oil-dependent areas. Internationally, various markets are experiencing economic challenges. In particular, Brazil, we expect the significant pressure to continue. In response to the nearly 50% devaluation of the Brazilian real last year, we have raised prices over 20% in 2016 and expect sales to be down for the full year. U.S. dealer retail inventory is expected to be up at year-end 2016, driven by the addition of new models this year. For the full year 2016, we expect operating margin for the Motorcycles segment to be between 16% and 17%. We believe 2016's gross margin as a percent of revenue will be down year-over-year. We expect a favorable impact from motorcycle pricing and strong productivity gains and we expect unfavorable foreign currency exchange, unfavorable mix and higher year-over-year startup costs as we implement our ERP solution at our Kansas City plant. To dimensionalize the foreign currency exchange risk, if currencies held at yesterday's exchange rates for the remainder of 2016, we estimate that our expected full year Motorcycles segment revenue would be adversely impacted by approximately 1%. We would expect an unfavorable impact to gross margin of approximately $60 million driven by lower revenues and lapping last year's hedge benefits, and unfavorable impact to gross margin by approximately one full percentage point. Looking at SG&A, while we will invest a significant amount more in marketing and product development, we expect full year spending to be flat to up modestly from 2015. As a percent of revenue, we expect SG&A will decrease. During the first quarter, we expect SG&A to be up roughly $25 million versus prior year as we ramp up our demand driving marketing. For HDFS, we expect operating income will be down modestly in 2016 compared to 2015 as a result of increased borrowing costs and unfavorable credit losses, partially offset by higher revenues. Capital expenditures in 2016 are expected to be between $255 million and $275 million as we increase investment in product development focused on bringing exciting new products to market and as we continue to invest in our systems infrastructure, most notably the implementation of an ERP system. Finally, we expect our full year 2016 effective tax rate will be approximately 34.5%. While results fell short of our expectations during the year, we maintained a strong gross margin percent, increased dividends, and repurchased $1.5 billion in shares. We're excited about 2016 and have a clear path forward. We're prepared to navigate through the challenging environment and making investments to drive demand, grow our business and achieve our goals. Thank you for your investment in Harley-Davidson. Now, I'll turn it over to Matt.
Matthew S. Levatich - President & Chief Executive Officer: Thanks, John, and good morning, everyone. In October, we laid out our plans for how we intend to increase our focus, investment and resolve to drive demand in 2016 and beyond. Today, I'll elaborate and provide more color on the steps we're taking to build stronger and deeper connections with our loyal current customers and reach and win new customers, riders and non-riders alike. Before I talk about our plans and the results we expect, I think it's important to share some of my context on the macro level. 2015 was a challenging year. Yet despite our challenges, we were successful in a number of key areas, areas foundational to our forward plans to leverage not only who we are, but what we've proven works to deliver a highly personal and authentic Harley-Davidson Experience. The Harley-Davidson Experience in brand are distinct and uniquely powerful. Without a doubt, we're currently in the most competitive environment we've seen in years, particularly in the United States, much of it is driven by currency and some of it by new products from competitors all around the world. We've always said that product competition is good for the entire industry. It keeps us all on our toes and ultimately the customer wins. To be blunt, we want customers to choose Harley-Davidson and we are more motivated than ever to deliver our best for them. We're not expecting the underlying conditions to improve or the competitiveness to diminish. So, we've taken and we'll continue to take steps necessary to retain and grow our leadership position and our share of the markets we serve, even as we continue to expand into new markets. We're already encouraged by the early results of our demand driving investments that we began in earnest in Q4 of last year. Although our dealers' retail motorcycle sales were down in aggregate in 2015, as John noted, we held our ground on U.S. market share in the fourth quarter and saw very favorable trends as key new products hit the marketplace, and we began ramping up our marketing investments heading into 2016. Performance in the United States, going forward, is mission critical and so is achieving a leadership position, internationally. Among the real bright spots in 2015 was our performance in our Asia-Pacific region where we had our best year ever for retail registrations overall and our fifth consecutive year of growth. In Australia, we drove Harley-Davidson to the number one share position for on-road registrations of all displacements, with the Street 500 playing a key role not only in those results, but in serving as a Learner Approved Motorcycle for that market. In Canada, the successful transition of our business to a direct distribution model with our own management and strategy for the Canadian market resulted in a 12.3% increase at retail in the quarter. Behind these efforts are the best employees in the industry, people who come to work every day, looking for better ways to serve our customers and drive demand for our products. On the Canadian transition, for example, our team completed a smooth and silent transition to direct distribution. On the manufacturing side, we worked together with the IAM to reach a new six-and-half year labor agreement in York, which ensures the continued strength of our manufacturing operations and our ability to be responsive to our customers globally. These are just a few examples of the momentum we're building together through our focus on performing as a company and driving demand. We know we have more to deliver and more to prove. That's our aim. That's our plan. So let's talk about that plan in 2016. In managing our powerful brand, we will continue to keep supply aligned with demand, but we are now challenging ourselves to more aggressively work the demand side of that equation. Our objectives are clear and they are aligning and motivating our entire company. Number one, lead in every market. Two, grow the sport of motorcycling in the United States in part by growing the number of core customers and growing U.S. outreach at a faster rate. Three, grow U.S. retail sales and grow international retail sales at a faster rate. Four, grow revenue and grow earnings at a faster rate through 2020. And five, outperform the S&P 500. As we've shared with you before, to achieve these objectives, we've substantially increased our investments in marketing and product development focused on four key areas: First, increasing product and brand awareness. Second, growing new ridership in the United States. Third, increasing and enhancing brand access. And four, accelerating the cadence and impact of new products. Since October, we've been ramping up our efforts to give us a running start into the New Year. We've not only increased our investment in driving demand; we've increased our focus to have greater impact. We've built capabilities based on deeper insights to drive greater precision in our marketing and how we and our dealers nurture relationships with current and prospective customers alike. Last year in our EMEA region, for example, we increased Touring sales and Touring share by exposing riders to the distinct advantages and capabilities of our RUSHMORE line. We also generated awareness for our 2016 Cruisers. As a result of our King of all Test Rides campaign, we generated 600,000 web visits, a 100,000 test rides and delivered progress at retail as the year advanced. So, we're building on the success in EMEA as well as other markets as we move into 2016, demonstrating the cool, the comfort, the power and the grace of our products continues to be one of the best levers in driving sales, and we're going to be doing more of it. To grow the sport of motorcycling in the United States, we're increasing our investment in our Riding Academy programs and giving more people, reasons and opportunities to learn to ride. We recently extended the highly successful and powerful Learn to Ride for Free program to current and former members of the U.S. military and first responders through all of 2016. We also plan to increase new Riding Academy U.S. dealer points by 18% en route to our goal to grow the number of graduates to 65,000 in 2016, a 35% increase from 2015. Graduates learning to ride a Harley-Davidson motorcycle at one of our incredible dealerships, and we have plans in place to further engage these graduates in our products, brand and dealership experiences to convert more of them to new Harley-Davidson owners. We're also looking to expand new rider training not only in the U.S., but in other key international markets as well. Our presence will grow as we reach out, engage, and connect with more consumers of all demographics, riders and non-riders alike. We will be participating in more events and leveraging our key partnerships in the U.S. like UFC and X Games and in other ways across each market globally to engage customers in high-energy venues to drive high-yield traffic to our dealerships. We know that increasing the access to our brand through our outstanding dealerships is a demand catalyst. That's why we've steadily continued to both enhance and expand the dealer network adding 40 new dealer points globally in 2015, including in China, India, Thailand, Vietnam, Germany, Poland, and Mexico. By 2020, we plan to add 150 to 200 dealerships internationally and we continue to work with each and every dealer to enhance the customer experience for every type of customer. Now let's talk motorcycles. Our motorcycles and everything we produce must drive passion and excitement in the heart and soul of every rider and every person, everywhere, who dreams to ride. As John mentioned, last August, we introduced the high-octane S-Series Cruisers, the Softail Slim S and the Fat Boy S. Both of these are examples of high-impact motorcycles developed to inspire customers. These two models were instrumental in driving mid-single digit increase at retail for large Cruisers in the fourth quarter. Further leveraging the product development capabilities we've built over the past few years with increased investment is all about more great bikes, more frequently. Just yesterday, we announced two powerful Cruisers expected to hit dealerships in the spring, the Low Rider S and the CVO Pro Street Breakout. The Low Rider S is the most powerful regular production Dyna Cruiser ever offered by Harley-Davidson and the Pro Street Breakout with its strong drag racing influence adds punch to our custom vehicle operations. Both are designed to appeal to performance-oriented younger riders and are great additions to our sizeable leadership in the Cruiser category. We expect these bikes to drive traffic, which further drives sales. So, the bottom line, we've got resolve. We've set high expectations for ourselves in 2016 and beyond. Results will be the measure of our success and I'm confident that we can achieve what we set out to do because we've done it before. Back in the depths of the recession, we challenged ourselves and committed to grow our relevance and reach among outreach customers and we did it. Over the past five years, sales of new Harley-Davidson motorcycles to outreach customers have grown at a compound annual growth rate of nearly 7%. In fact, in the U.S. we lead in the sale of motorcycles in every outreach segments that includes African Americans, Hispanics, women of all ages and young adults between the ages of 18 and 34. In this all important young adults segment, we saw more Harley-Davidson motorcycles to young adults today than we did to the baby boomers when they were young adults. We're committed to grow ridership and the Street has helped us do just that in the first full year since its launch. 7 out of 10 Harley-Davidson Street Riders were new to the brand and in EMEA, that number was nine out of 10. In India, nearly all Street customers were new to the Harley-Davidson brand. We know what we can achieve when we develop and align and commit to a goal. We're building on a strong foundation and challenging ourselves to drive demand and increase our impact and appeal even more broadly as we move forward. These expectations are part of a solid plan that is the result of our experience, capabilities and commitment to lead. We have loyal and passionate customers who would be the envy of any business. We have this brand and its incredible legacy. We've got talented and passionate employees and dealers and we got resolve. Together, we've never been more fired up to deliver great things for everyone who wants to be a part of all we do. Now, let's take your questions.
Operator: Your first question comes from Felicia Hendrix from Barclays. Your line is open.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Good morning. Thank you so much. So I just wanted to start out, I have some questions on inventory. John, in your prepared remarks, you did say that you were going to build inventory in 2016, also your balance sheet inventory increased 31%. So, I was just wondering if you could provide us with some details on what was in your balance sheet inventory and why there was that large increase. And then, also, I understand that you're excited about the new models and they've been getting traction, but just wondering how you can get comfortable with the plan to build inventory, given the macro and the competitive challenges that you face and then also the strong base of used bikes that are at the dealer level? And just housekeeping question, if you could give us the share count at the end of the quarter that would be great?
John A. Olin - Senior Vice President and Chief Financial Officer: All right. Thanks, Felicia. Let's start with the balance sheet question. Is inventory on the balance sheet is up, about $137 million, and this is driven by three things. Number one, and most predominantly is higher finished goods inventory, I'll come back and talk about that in a second. Secondly, is our related business inventory in parts and accessories and general merchandise is up as we look to improve customer service and optimize our product flows to our dealer network. And then, thirdly, with the acquisition of Canada, we certainly acquired finished goods and parts and accessories and general merchandise inventory with that acquisition. Getting back to the largest driver of that, which is finished goods inventory. Now we've talked last couple of quarters that we were going to increase production in the fourth quarter. We got very good at flexible manufacturing, and on the previous couple of years we took our production down in the fourth quarter quite significantly, and we hit a point of diminishing returns, so we wanted to put some production back in the fourth quarter, which we've done and certainly reflected in our gross margin for the quarter. Secondly, and that's coincident with the change in our investment profile, and significantly increasing the amount of dollars that we're bringing to drive demand, and we're pulling that forward very early in the first quarter. Matter-of-fact, we started on some of that in December. And so what we want to do is to put forward the shipments for the selling season to our dealer network by several weeks. And so, we're coming into the year with a little bit more inventory so that we can get it out to the dealer network and fulfill the inventories with the marketing spending going up. So, we feel very good about where we're at, and I'm all ready to start 2016. The second question was with regards to next year's retail inventory, and we said that we'd expect that to be up behind new model introductions. So, Felicia, two of those new models were just introduced yesterday. So, similar to this year, our inventories were up 2,600 units behind a couple of new incremental models, and it just represents the dealer fill for those models and we would expect the same in 2016. Given the environment that we're in, or moving into, we feel very comfortable about where we ended our dealer inventories this year. Matter of fact, our dealer network would probably suggest that they would like more inventory. They would certainly suggest they would like more inventory and we're going to continually aggressively manage supply in line with demand. Next year is no different and we would expect day sales to be similar to this year for next year.
Operator: Next question comes from Craig Kennison from Baird. Your line is open.
Craig R. Kennison - Robert W. Baird & Co., Inc. (Broker): Good morning. Thanks for taking my question, I'll keep it to one. What are used bike prices looking like at auction today?
John A. Olin - Senior Vice President and Chief Financial Officer: Thanks, Craig. Used bike prices, over the last several quarters have been soft at the auctions. They've held up much more firmly in our dealer network, but in auctions, they have been soft, and that's what you're seeing in the credit losses. We've talked about this for several quarters, is that there is some softness in prices at auctions and that's increasing some of the losses that we're seeing at auction. Again, in the dealer network, through the first three quarters, prices were very firm. We were noting that Touring was up a little bit, Sportsters were flat and our Cruisers were down. As we move into the fourth quarter, we are seeing a little bit more softness in the dealer network with prices down slightly.
Craig R. Kennison - Robert W. Baird & Co., Inc. (Broker): Thank you.
Operator: Your next question comes from James Hardiman from Wedbush Securities. Your line is open.
James Hardiman - Wedbush Securities, Inc.: Hi, good morning. Thanks for taking my call. Sort of related line of questioning to Craig. With respect to new bikes, your goal had historically been to align supply and demand and ultimately pricing such that dealers would sell at MSRP. Can you talk a little bit about deviations from that with regard to your dealer channel? Just hearing more and more grumblings about dealers cutting sizable discounts relative to MSRP. And then, I guess, related to that used bike question, remind us how you think about sort of the backward looking credit losses, obviously, we've seen those losses tick up and that's impacted in your guidance for HDFS going forward, but at what point do we have to worry about maybe writing down receivables as we look backward in terms of credit losses? Thanks.
John A. Olin - Senior Vice President and Chief Financial Officer: I'll start with the second one first, James. We would not expect to write down anything. The only – those are not our bikes. What we do is we do inventory a small number of repos as they come in, but you're talking a small balance and we mark those. We mark them every month or every quarter they are marked-to-market. So, we would never expect to have a large write down in terms of the repo inventory that is ours. Again, it's a very nominal amount of bikes that flow through us. The next question that you asked is with regards to discounting at MSRP in our dealerships. Our dealers are independent folks and they can offer discounts and some of them do. What we can do is not allow them to advertise any discounts and that's something that we enforce very much. We do not condone or want our products to be discounted, but as you pointed out, James, they do at times and they just can't advertise it. The best thing that we can do is to aggressively manage supply in line with inventory so that we don't create an environment where discounting would be more encouraged.
Operator: Your next question comes from Sharon Zackfia from William Blair. Your line is open.
Sharon M. Zackfia - William Blair & Co. LLC: Hi, good morning. I guess just a quick question from me. Just wondering on the thoughts on capital allocation for the company in terms of potentially taking on more debt on the motorcycle company to buy back shares at these levels?
Matthew S. Levatich - President & Chief Executive Officer: Sharon, as we sit today, we feel comfortable where we're at with regards to the debt that we've taken on. We always face the balance of that with our credit ratings, and given the fact that we've got a finance sub, we are looking for top tier credit ratings in commercial paper, which we feel is important and managing that balance, at this point, we feel comfortable with where we're at in terms of the debt.
Operator: Your next question comes from Gerrick Johnson from BMO Capital Markets. Your line is open.
Gerrick Luke Johnson - BMO Capital Markets (United States): Hey, good morning. You guys recently sent out an offer to select customers for a five-year warranty for $1. Is this a new initiative? Is this something new that is coming out with your new marketing plan or is this something that you employ regularly? And also, Matt, there was recently a dealer closing here in New York, not far from your hometown. Can you just talk about the health of the U.S. dealer base? Thanks.
Matthew S. Levatich - President & Chief Executive Officer: Yeah. I'll take both of those. We're not aware of any extended warranty offering coming from the company. So, that may be a dealer initiative, we'll check into that. The dealer closing I think you're referring to is near Corning, New York, and this is just the dealer looking at the neighboring network and their prospects. He was in a facility that was very expensive. He had a lot of overhead and he decided that it wasn't going to be profitable enough for him. Our team works on these sorts of issues locally, constantly, making sure that every dealer is profitable, working with the dealer on means and methods to increase their profitability. If there is a problem, we had a lot of this in the kind of 2009, 2010 timeframe, as volumes dropped. Generally speaking, the health of the dealer network is back to typical levels prerecession, but there is always local issues that are dealt with by the field teams. So there's no structural issue that we see at all. So, thanks for the question.
Gerrick Luke Johnson - BMO Capital Markets (United States): Thank you.
Operator: Your next question comes from Pat Archambault from Goldman Sachs. Your line is open.
David J. Tamberrino - Goldman Sachs & Co.: Yeah. Thank you. This is actually Dave Tamberrino on for Pat. Our question really revolves around the market and what seems to be a positive change in the competitive environment, at least more recently. However, we're still a little bit surprised as to why the overall market is not improving. I think we're approximately 35% below prior peak in U.S. retail registrations and presumably a lot of the core drivers are improving with high end manufacturing, construction wages growing. Both those are highly correlated with sales. So, the market declined in 4Q 2015 despite these, what's your take on why growth is stalled in the market and any perspective on this is really helpful? Thanks.
John A. Olin - Senior Vice President and Chief Financial Officer: Thanks, Dave. When we talk about the new bike sales still being under the peak levels, I think you had mentioned 35%, this is a function of the industry that grew for 20 straight years at a very high CAGR that ended in – peaked in 2006 and with the recession that started in 2007 and 2008, we had a kind of a rebalancing of new-used. So, leading up to that, it was about one-to-one relationship. And after the recession for us it became about 2.5 to 1. And since then it's been very stable. I think we're at 2.3 to 1 right now. We do not expect there to be a bounce back, I mean we said this five years ago, is that it is just the dynamics of a rapidly growing industry and with that change in the balance of overall new to used for us and the industry, we hit equilibrium in the fourth quarter of 2010 and we expect to grow off of that. But we're not expecting any bounce back in any dramatic way to get back to the previous levels. We believe we'll get there, but it is going to take some time.
Operator: Your next question comes from Greg Badishkanian from Citi. Your line is open.
Gregory Robert Badishkanian - Citigroup Global Markets, Inc. (Broker): Great. Thank you. So, my question is just on your assumption behind the 1% to 3% shipment growth globally. Your assumption in the U.S. in terms of market share and the industry growth in the upcoming year and then for your marketing initiative (45:00), how much of that's going to impact 2016 versus being more kind of longer term brand building?
John A. Olin - Senior Vice President and Chief Financial Officer: So, thanks, Greg. In terms of the 1% to 3%, as we had mentioned, we expect international to grow faster than the U.S. But as we exit 2015, we feel very good about where we're at in terms of turning around and starting to grow next year. When we look at the fourth quarter, we saw the decline worldwide basis come down significantly. It was running at 1.4%, down for the first three quarters, and it was only down 0.6%. And in addition to that, very pleased with market share. We had expected as we got into lapping the onset of the competitiveness that started four quarters ago, late in the fourth quarter, that we would see market share stabilize and we're very pleased to see it. So, certainly a big turnaround in market share. In the fourth quarter, we were running down at a rate of 3.7 points and we're flat in the fourth quarter, and in Europe as well, was running down about 1.6% through three quarters and down only 0.6%. So, this is what we would have expected. As we look forward into 2016, we would expect certainly more stable shares in 2016 versus 2015. The overall growth in the company is going to be driven by new products. Model year 2016 is doing very well. As Matt had mentioned, our cruisers are up on a year-over-year basis and we just added two new cruisers to the lineup as of yesterday. Outreach is doing absolutely fantastic, up 6.5% this year, growing faster than our core, which has been our goal, as well as growing at double the rate of the industry. And then, we've got $70 million more marketing spending. So, we realize that our price gaps are larger. We don't expect them to close because of the discounting. We expect that to continue, but we are bringing a lot more dollars to bear on that to help mitigate the impact of expanded price gaps. And then finally, international expansion. We added 40 dealers last year, most of them in the back half, and we'd expect to add similar levels over the next five years and that will drive a lot of our sales. All of that in the context of much easier comps for us as we go forward into 2016. So we are excited about 2016 and we're confident in our ability to grow 1% to 3%.
Matthew S. Levatich - President & Chief Executive Officer: Before we take the next question, Gerrick, just to follow-up on your question about an extended five-year warranty. That was – we are doing for select customers through HDFS an extended service promotion, which is different than an extended warranty. So I just wanted to clarify that. When you said warranty, it threw me, but ESP is a big part of the portfolio of offerings through HDFS and these are just examples of the spot things we do with certain customer types, again, just to drive demand. So, thanks, just wanted to clarify that.
John A. Olin - Senior Vice President and Chief Financial Officer: And also, I believe, Felicia asked a question of our year-end share count, we've got that. That's 184.7 million outstanding shares.
Operator: Okay. Thank you. Your next question comes from Rod Lache from Deutsche Bank. Your line is open.
Patrick E. Nolan - Deutsche Bank Securities, Inc.: Good morning, everyone. It's actually Pat Nolan on for Rod.
John A. Olin - Senior Vice President and Chief Financial Officer: Hi, Pat.
Patrick E. Nolan - Deutsche Bank Securities, Inc.: I had two quick ones if I could sneak them in. Could you just give a little bit more color on the share stabilization in Q4? Were you surprised at the return you got on those initial investments for the customer-faced marketing, or do you think there was also some benefit, the fact that the market declined, your customers are typically a little bit more resilient?
John A. Olin - Senior Vice President and Chief Financial Officer: So, we were not surprised by the market share in the U.S. or in Europe stabilizing more in the fourth quarter. It's a function of two things. Number one is the some of the demand driving activities that we've employed are starting to pay off; our new products are doing what they expected. And we're lapping the onset of the competitiveness that started a year ago. And with that and when you dramatically – competition reduces prices, fair amount of volume gets pulled forward and that's what we saw last year. And so now as we're getting into lapping that, we're in a much more stable place to start to grow off of. And so, no, not a surprise at all, the teams are doing a great job. We mentioned in the prepared remarks, one of our large investments that we've chosen to deploy and to grow the industry is offering military folks free Learn to Ride at our Riding Academy programs. And the results have been fantastic and we're seeing very large growth on a year-over-year basis of graduates buying new motorcycles. And again, Pat, these are things that we're doing because we're not discounting and the easiest thing for us to – would've been to do is the discount and so these things are taking a little bit of time, but they're starting to pay the fruit of our investment and we're seeing that in the fourth quarter and we expect that to continue on into 2016.
Patrick E. Nolan - Deutsche Bank Securities, Inc.: If I could sneak in, on the mix headwinds, do we start to lap that as we get into Q2 of this year with the initial launch of the Street, I remember mix was a big negative in Q2 of last year and then that should be a more benign drag going forward?
John A. Olin - Senior Vice President and Chief Financial Officer: So, the mix typically will persist, not necessarily at the same levels, but through to the next model year when we kind of reset. So, what we're seeing here is what we certainly expected is in model year 2016 we invested a lot of new products in our Cruiser lineup. We brought a lot new – lot of power, if you remember, we have the 103 high output engine across all of our cruisers, and certainly the S models. So, what we're seeing is in the first quarters you're going to see more of a pronounced mix as we ship those into the dealer network, because demand is higher for them, and we need to ship into that. But we would also expect to see those that continue to sell well until whatever products we come out at the next model year. So, as we had talked about in our gross margin, which we expect to be down, one of the reasons for that is unfavorable mix. So, we would expect to see, not necessarily the same magnitude as we saw in the first quarter, because we're setting up the dealer network with inventory as well, but unfavorable mix due to the fact that we're shipping in those cruisers, which include the Sportsters that have been redone. And then we'll see what we come out within in 2017. But I'll tell you, even though the financial aspect is negative on a lot of these bikes as we're bringing in a lot of new customers into Harley-Davidson and a lot of outreach customers, so we're very pleased with that investment. And from a long-term standpoint, these are folks that will trade up to higher priced motorcycles much quicker or very quick in the future.
Operator: Your next question comes from Tim Conder from Wells Fargo Securities. Your line is open.
Tim A. Conder - Wells Fargo Securities LLC: Thank you. Most of these are sort of tweaking of the previous questions. But, John, on the inventory situation, can you kind of quantify how much was due to the Canadian acquisition? It seemed like it was number three in your list, but if you could give us any quantification there that would be great. And then on FX, maybe the degree of hedging that you've done on a year-over-year basis, it sounds like it's less year-over-year, but any color on that and especially as it relates now to your higher Canadian dollar exposure? And then on used, the pricing gap, how do you feel about that between new and used and it sounds like you expect that used and new ratio to hold here at about 2.3, I think you said to 1, but do you feel comfortable with the pricing gap on the used to new? Thank you.
John A. Olin - Senior Vice President and Chief Financial Officer: Starting out with the third first, the overall pricing gap, we feel comfortable with in the dealer network as I had mentioned, seeing a little bit of softness in pricings in the dealer network. But by and large, we feel comfortable with where we're at. And yes, Tim, we would expect to be in that 2.3 range in the overall used-to-new relationship, and we'll continue to build off of that. And we need to grow over time both new and used sales at the same rate. So, we'd expect 2.3 to be where we're at. The industry has got a higher used-to-new relationship, but we'd expect them to be in the same range as well. And in terms of FX hedging, we have a fair amount of hedges on. We've got a regular program of hedging as we've talked about that hedges are largely in a stair-step fashion. We have extended that, a bit on some of our currencies, in particular on the euro, given the risk that we face. But, overall, we feel very good about what we've got hedged and I talked about in the prepared remarks though, if currency rates stay where they are today, there will be a sizable currency headwind, a lot of that is made up of the gains that we had last year as those hedges at higher or more favorable exchange rates wear off, we will have unfavorable variances in gross margin this year because of that. And then, we had mentioned that revenue we would expect to be down about 1%. With regards to Canada, we will bring Canada on with our regular hedging program that we do with all of our other currencies. The other question was, I think on company-owned inventory, the amount that was – on Canada, I don't have that number. Overall, Tim, when we purchased Canada, the working capital that we acquired was $10 million. I don't have the number of inventory in Canada in front of me for the end of the fourth quarter.
Operator: Your next question comes from Kevin Milota from JPMorgan. Your line is open.
Kevin M. Milota - JPMorgan Securities LLC: Hey, good morning, everyone. Just thinking about your longer term objectives here through 2020. Do you think we can get back to a 3% to 5% shipment growth rate with these marketing efforts that you have in place in the ridership programs that you're working towards? Or is the 1% to 3% shipment growth kind of the new normal on a go forward basis, kind of effectively what's underwritten in your 2020 objective? Thank you.
John A. Olin - Senior Vice President and Chief Financial Officer: That's a great question, Kevin. Unfortunately, we don't provide long-term guidance. But just three months ago, we feel very good about 2016, on the marketing plans that we've got, the models that we're bringing to market. And we believe that a clear path to 3% to 5% growth. So, one of the questions is, well, why are we at 1% to 3% today, and how does that bode going beyond 2016 into the future? And basically what we've tempered from just three months ago is we still feel just as confident about our plans for 2016. Our expectation – the fourth quarter finished right on expectations. We're seeing the improvement that we needed to launch into 2016, the turnaround just to growth, all of that's in place. Also we're recognizing with the 1% to 3% is the increased risk in the macroeconomic trends, both in the United States and around the world. A lot has changed in those three months, whether it be oil prices, the slowdown in China, geopolitical issues around the world and we're simply recognizing that change. And as the macroeconomics improve, we'll see what 2017 and 2018 brings. But we feel very good about the underlying strength of our business, the sales opportunities as well as the strength that we've seen in our gross margin.
Operator: Your next question comes from Jaime Katz from Morningstar. Your line is open.
Jaime Katz - Morningstar Research: Good morning. Thanks for taking my question. You guys mentioned very briefly weakness or changes in demand and the oil patch. And I'm curious if you'd be willing to add any additional commentary on demand in both Texas and Western Canada and how that has changed year-over-year, maybe just comment on the magnitude of that?
John A. Olin - Senior Vice President and Chief Financial Officer: Yeah, Jamie. Well, we can start – we can move around the globe a little bit, but starting in the U.S. we are seeing and noting that in local economies that are dependent on the oil industry that we're seeing some softness in terms of our retail sales. I don't think that's a surprise to anyone. And in addition, we're seeing higher delinquencies on some of the loans that are there and I'm working to change some of our underwriting or tweak some of our underwriting to address that. Within the United States, the oil patch represents a minority of our overall volumes, but it is of concern and we've seen it getting a little bit worse over the last several quarters. We still believe it's manageable as we move into 2016. When you look at Canada, Russia, the Middle East and various other parts around the world are being affected by low oil prices, and I think quite understandably, a lot of those folks are losing their employment and – or are concerned about their employment and are slowing down on their spending. But, again, we've taken that into consideration with our overall guidance and still expect to be able to grow in 2016.
Operator: Your next question comes from Joseph Spak from RBC Capital Markets. Your line is open.
Joseph R. Spak - RBC Capital Markets LLC: Hi, good morning. Thanks for taking my questions. I guess, what would be helpful in response to the question, maybe two questions ago was, if you could give us your industry retail assumption for the U.S. So, it sounds like that was the reason for the caution from the 3% to 5% to the 1% to 3%, but I think some underlying industry information would be helpful. And then the second question is really on CapEx. It looks like this is now a couple of years here of higher CapEx. Is that a new normal level we should think of beyond 2016, maybe you could give us a sense of at least for this year, what's maintenance, what's growth CapEx?
John A. Olin - Senior Vice President and Chief Financial Officer: Okay. With regards to industry retail sales, Joe, we do not provide a forward-looking forecast for that. Certainly, we see more caution, just given the overall macroeconomic trends, but we don't provide a forecast. We can say that over the last five years the industry has grown pretty steady at about 3%. This year was no different. Overall, industry was up 4.8%, but when you remove autocycles, which we don't believe competes with the traditional motorcycle segment, the industry was up about 2.8%. So, this year was right in line with the previous three years. What I can say is, is that as we enter into 2016, we would expect the first quarter or two the industry to be down as they lap or our competitors lap the kind of the growth that they experienced early on in the discounting cycle, and some of the pull forward volumes that they enjoyed. This year, the industry growth was driven by the front half and again, the pull forward of volume into the first couple quarters. But, overall, we're in an environment that we believe we can grow our worldwide shipments by 1% to 3%, but I'm not going to provide a number on the industry. The second question was on CapEx. Our CapEx guidance for this year is $255 million to $275 million. The actual CapEx during the year was $260 million, and as you noted, Joe, was up a bit and that is driven by two things. One is new product development. We've talked about that a quarter ago, that we're increasing our new product spending, which hits SG&A, the expense side of it, by 35%. Well, there's certainly a corresponding part of that for us to develop those motorcycles, a fair amount of capital that goes into that, and you're seeing that reflected in our guidance. And then secondly, as we continue to extend our ERP solution, we're moving it to Kansas City. We're very excited about that. If you remember, about three years ago, we put a system in York and it has done a fantastic job for us in terms of helping drive sustainable productivity. So that is another big area of capital spending this year. So on some of these things you're going to see from year-to-year capital go up and down depending on what we might be working on in terms of systems upgrades or new product development. But we're not going to provide a long-term view of overall capital.
Operator: Your next question comes from Joe Hovorka from Raymond James. Your line is open.
Joseph D. Hovorka - Raymond James & Associates, Inc.: Thanks, guys. Just one quick question. The Rider's Academy, was there any influence on retail in the quarter? I know in the past we've had some incremental bikes go into that and those are counted as retail. Thanks.
John A. Olin - Senior Vice President and Chief Financial Officer: Joe, I don't know the number of bikes that may have gone in. Whatever it would be, it would be very small. We did the re-fleeting in 2014, so everyone at that time received all new bikes in the Rider Academy program. So every once in a while they're going to swap out a bike or move one and sell it as used and move a new one in. That would be a very small number. And now that you mention it, I would point out that when you look at our overall retail sales for the year and 2015 was a difficult year and we certainly fell short of expectations. But in the vein of keeping it all in perspective, our retail sales were down 1.3% on the year. But when you do adjust for that re-fleeting of motorcycles that went into the Rider Academy with our new Street 500 motorcycles in 2014, retail sales were down only 0.4%. And while these results are certainly disappointing to us, we did achieve it in the face of some of the most significant shifts in world currencies that we've ever seen and unprecedented levels of discounting, where 95% of our competition certainly gained a competitive or price advantage of up to 20% to 30%. So with that overall tough year, retail sales were only down 0.4%. We did it all without damaging the brand by succumbing to discounting. We did it by growing gross margin in the face of incredible headwinds. We remain highly disciplined on managing our retail inventories and we did it without violating our customer's trust and loyalty. And so, just had to get that off my chest. It's been a tough year, but I think that keeping it all in perspective is the competition threw the best that they can muster and overall retail sales were down 0.4% and I know there's some skepticism out there whether we can grow next year. But given the year that we've had this year, all the things that we've realigned to compete into 2016, the money we're bringing to bear, the new products that we're bringing to bear including the two we just came out with, the $70 million of incremental spending, the international expansion, again, we feel great about our business. We feel great about moving forward into 2016 and we feel great about our ability to grow in 2016. I know that's more than you asked for.
Operator: Your next question comes from David MacGregor from Longbow Research. Your line is open.
David S. MacGregor - Longbow Research LLC: Yeah. Thanks for taking the questions. Matt, I guess you talked a lot about the Rider Academy, it seems pretty central to the plan. What are the levers that are at your control to improve the conversion rate there and just get that rate up? And then I guess the second question for John on HDFS. With respect to the provisions for retail motorcycle loan losses, in an extended competitive environment, how far are you willing to let the annual loss experience grow? Thanks.
Matthew S. Levatich - President & Chief Executive Officer: Okay. Thanks for the question. So, I – it's clear, we have said it in our objectives and our focus areas increasing ridership, growing the Sport motorcycling in the United States and the Riding Academy being a very key lever to that and there are two real dimensions of it. One is, the number of dealers that offer the Academy. The power of having riders learn on a Street – Harley-Davidson Street motorcycle that's available for sale. I have personal experience that my wife took the Riding Academy in the summer of 2014 on the Street 500 and I tried to get her to buy a Softail because I really wanted to get another motorcycle that I would also ride and she wanted a Street 500 because she learned to ride on a Street 500. And so, that's what she got. So, when you just take that sample size of one around the confidence that a new rider has in having really great training and care and support from the dealer and a product they can buy to extend their learning while they are out on the road, it's an incredibly powerful mechanism for us to grow the Sportster motorcycling in the United States and grow the number of riders. So, we're going to add more dealers as we mentioned and we're going to work with the dealers on what best practices are out there that can be deployed to increase the conversion rate. We have 700 independent dealers in the United States. They are all on Harley-Davidson. They're passionate about what they do. They're working every day on ways to improve their business. Our teams are visiting 100 dealerships a day in the United States. They're are picking up these best practices that are being incubated by dealers around the nation and we're expanding and using that insight and those positive experiences to help other dealers improve as well. And Riding Academy is going to be one of these things that we're going to continue to incubate and improve not only the number of points, but that conversion rate, all in the spirit of exposing more people of how awesome it is to ride and how awesome it is to ride on a Harley-Davidson and to have that experience through our great dealerships.
John A. Olin - Senior Vice President and Chief Financial Officer: So, David, the second question was with regards to the provision. We exited the year at 1.42% in terms of credit losses. This is under the ten year average, it's under our expectations of what – we would expect it to rise next year. None of this is out of line with what we've expected, none of it is out of line with what we've priced our models at. And it's things that we would expect, as subprime, we took down during the recession, and it's coming back to normalized level, and so are the losses. We feel very good about where we're at. In terms of overall profitability at HDFS, we're still near record highs in terms of overall profitability. So, we would expect that number to continue to normalize, but feel very comfortable about what we're at with credit losses at HDFS.
Operator: And your final question for today will come from Neel Mehta from Morgan Stanley. Your line is open.
Neel N. Mehta - Morgan Stanley & Co. LLC: Thanks, and good morning. Just very quickly, do you have an update on what the repeat cycle for Harley motorcycle purchases looks like today, and maybe how that's changed over the last 10 years or so? And then very quickly just back to oil again, that was very helpful color. But, I'm wondering if you could provide some figures on HOG sales in oil-patch states, namely Texas, just to get an order of magnitude on what's happening there? Thanks.
John A. Olin - Senior Vice President and Chief Financial Officer: Neel, with regards to the repeat purchases, in general, it's been around a repurchase cycle of about four years. In the downturn, we saw that extend out about a year. I think it moved about five years. And as we have introduced new products, in particular. Rushmore, we've seen that repurchase cycle shortened again. And I'm not exactly sure what it's at, but it's around 4.5% at this point. Overall, with regards to the oil patch, we have seen the losses over the last couple of quarters increase and in the quarter, they were up around double digit. But it's a small percentage of our overall volume. And so, again, we're just concerned about it, but we're managing it and certainly incorporating that in our view as we look forward.
Amy Giuffre - Director-Investor Relations: Great. Thanks, John, and thank you every one for your time this morning. Thank you for your time this morning everyone. The audio recording and supporting slides will be available at harley-davidson.com. The audio can also be accessed until February 11, by calling 404-537-3406 or 855-859-2056 in the U.S. The PIN number is 113-603-42#. We appreciate your investment in Harley-Davidson. If you have any questions, please contact Investor Relations at 414-343-8002. Thanks.
Operator: Thank you, everyone. This concludes today's conference call. You may now disconnect.